Operator: Welcome, everyone, to UMC’s 2010 Q1 earnings conference call. All lines have been placed on mute to prevent any background noise. After this presentation, there will be a question-and-answer session. Please follow the instructions given at that time, if you would like to ask a question. For your information, this conference is now being broadcasted live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit our website, www.umc.com under the ‘investor relations/investor events’ section. I would now like to turn the call over to Mr. Qidong Liu, CFO of UMC. Mr. Liu, you may begin.
Qidong Liu: Thank you, and welcome to UMC’s conference call for the first quarter of 2010. With me today is our CEO, Dr. Shih-Wei Sun. During this conference call, we may take forward-looking statements based on management’s current expectation and beliefs. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially, including risks that may beyond company’s control. For these risks, please refer to UMC’s filings with the SEC in the U.S. and the ROC security authority. For the first quarter of 2010, wafer shipment volume achieved a record high of 1.033 million 8-inch equivalent wafers, and capacity utilization rate rose to 88%. Revenue decreased 3.7% quarter-over-quarter to NT$26.72 billion, from NT$27.75 billion in Q4 2009, the increased 147% year-over-year from NT$10.84 billion in first quarter of 2009. Gross margin was 24.6%. Operating margin was 12.7%. And net income was NT$3.48 billion, and earnings per ordinary share were NT$0.28 and earnings per ADS was $0.44. Above is the short summary for the results in Q1 2010. More details are available in the quarterly report, which has been posted on our website. I would now turn the call over to Dr. Sun.
Shih-Wei Sun: Thank you, Qidong. Thank you all for joining us today. As always, we appreciate your interest in UMC. I will start with a brief summary of UMC’s 2010 first quarter operating results and share with you our general operating outlook. After that, I will provide you with the guidance for the second quarter of 2010. We will then have a Q&A session to answer your questions. For Q1, we continue to experience robust demand, with average selling price falling slightly compared to the previous quarter only because we focused more on supporting our customers’ short-term product mix to strengthen our long-term partnerships. At the same time, UMC continued to work with customers to migrate products and technologies in alignment with the high-end process capacity that is slated to become more readily available from the second quarter onwards. As UMC continues to optimize sales, capacity mix, and the business composition, we anticipate revenues and profits to continue on an upward trajectory, with the share of revenue contributed by 65-nanometer and below technologies to grow significantly. UMC optimistically anticipates continue the growth momentum; meanwhile, we will closely monitor the strength of that momentum within the overall economic context, especially in the second half of the year, to ensure that we respond prudently. With regard to technology, UMC’s internally developed high performance 40-nanometer logic process has demonstrated steadily higher yields for customers’ products, and our 45 nanometer low-power process has also smoothly ramped up to mass production. Many of our high-performance and low-power 40-nanometer customers have achieved their product verification with us, and we will continue to support more customers’ design tape-outs. Our development of 28-nanometer gate-last high-k/metal-gate technology has been progressing well, with plans to achieve IP pilot capabilities by the end of 2010. Since early this year, we also began to work with customers on planning and initial development of advanced 20-nanometer technology. As technologies advance, UMC will continue to invest CapEx in augmenting high-end and specialty technology capabilities each quarter to serve our customers. Our 65/55 nanometer capacity at Fab 12i in Singapore will increase substantially beginning in second quarter. At Fab12A in the Tainan Science Park, we plan to pull in the timeframe of Phase 3 readiness, so that cleanroom related facilities and equipment installation will be completed by Q3, with production lines running in Q4. We have a fully devoted our efforts to satisfying our customers’ needs and creating win-win scenarios while pursuing long-term return on equity growth. We will be celebrating our 30th anniversary soon and UMC has always committed itself to investing in Taiwan, as its base in establishing a global presence. In preparation for future expansion, we began the Tainan Science Park project to not only invest aggressively in broadening our capacity offerings, but also to establish a new training center devoted to attracting and training the industry’s top talents, further demonstrating our company’s commitment to sustainable growth. Now, let me provide you with the guidance for the second quarter of 2010. We expect wafer shipments to grow in the high single-digit percentage range. Wafer ASP will increase but approximately offset by currency appreciation. Capacity utilization rate will be in the high 90s range. In terms of profitability, our gross margin will be in the high 20s range. The gross momentum will be from all three segments, led by strong consumer sector. Revenue contribution from 65-nanometer and below will be in the mid 20s range. The CapEx budget for the 2010 remains unchanged and is expected to be in the range of $1.2 to $1.5 billion. That concludes my comments. We are now ready for questions. Operator, please open the lines up. Thank you.
Operator: (Operator Instructions) Your first question comes from the line of Randy Abrams.
Randy Abrams: Yes. Hi, good evening. I want to ask question on the gross margins, its moving the high 20s, next second quarter, high 90s utilization. What do you see the gross margin profile as we go toward, I think, in the afternoon you said 35% to 40%, could be 65-nanometer and below. And if we assume like, we are still near full capacity, would gross margins expand further and if you could talk in that context, how you see depreciation turning sequentially over the next few quarters?
Qidong Liu: For depreciation expenses quarterly basis, well, they were sequentially down few percentage points a quarter. As a whole year, we expect to see about 8% to 9% depreciation decline versus 2009. However, 2011 we’re going to see a rebound in the depreciation expenses, as our higher CapEx this year and also expect to see, for the December next year. So, to answer your question, we really cannot give our earnings guidance for a quarter beyond second quarter. But certainly we’ve briefly touched upon our review on blended ASP, in this afternoons’ conference call, we do see, expect to see further upsides from our blended ASP given our continuous enriching sales mix.
Randy Abrams - Credit Suisse: Okay. I mean, you hinted, I guess, next year we could have pretty high CapEx numbers. Could you talk about the motivation, is it more liquid in 45-nanometer or we have to go through the big investment on that and remediate on CapEx to revenue, I think, long-term it’s 25%, but how should we, I guess, we start to plan at and look at ahead to next year, or we look that big CapEx number what your looking at actually go into 40-nanometer?
Shih-Wei Sun: So Randy, you are asking next year’s CapEx number?
Randy Abrams - Credit Suisse: Well, yeah, the framework for CapEx, how you’re thinking about it, like will it stay at somewhere capital intensity to what we’re seeing this year. Or can even be higher as you do the main 45-nanometer ramp?
Shih-Wei Sun: I think it’s too early to forecast next year’s CapEx number, but you know, CapEx these are rolling kind of average, so by the right time, we will share with you the exact numbers. So, this year, we’re pretty much on track. $1.2 to $1.5 billion in CapEx.
Randy Abrams - Credit Suisse: Okay. And on the IBM outsourcing it’s been about 20% of sales, but it used to be up in the range of 30% to 35%. And I guess, first, I’m wondering in the next couple of quarters, do you see a cyclical rebound in some of the IDMs as they get or/and I think you mentioned a bit that you have some programs you are working with, do you see any meaningful, I guess, new contribution or new customers coming in from IDM that could change your mix in the meaningful way where IDM start growing as a percent of your sales?
Qidong Liu: I mentioned in the afternoon, we are changing the way, we are improving our business mix product mix, IDM is a very important component they are new content inside this part of the pie, so its possible, we are definitely engaging somewhere as a very good momentum from different IDMs and different business, new business, different new segments, so its possible but in the meantime its obviously also very strong. So, I don’t have the exact numbers above the mix change going, moving forward.
Operator: Your next question comes from the line of J.J. Park.
J.J. Park: Good evening. My first question, looking at Q1 the number ASP declined since to be kind enter your previous expectation, due to the increasing proportion of the consumer application and then related to the ASP, you mentioned in the second quarter its been clear, can you give us some color on the magnitude of the ASP increase?
Shih-Wei Sun: For the second part, the ASP increase is going to be according to our guidance offset by the NT dollar appreciation and our assumptions for NT dollars appreciation in second quarter is roughly 2%. So that also the ballpark figures we have in terms of blended ASP increase. And as far your first part of the question, did you mention that because their consumer contents of revenue actually for the rate on our ASP.
J.J. Park: Yeah. That’s correct.
Shih-Wei Sun: Well, we actually mentioned that’s because we tried to meet our customers’ short-term demand. We are trying them maximums in terms of pushing to the limit in terms of technology allocation versus, customers’ demand, so not so much related to the consumer revenue base.
Qidong Liu: Actually, J.J., if you look at our pie chart on the technology and the breakup, we were more 0.13-micron in Q1 than Q4 by 2% more, I guess. So that’s one example we’re supporting customers’ short-term demand.
J.J. Park: So, I just have to assume that there is no ASP decline on the apple-to-apple comparison then.
Shih-Wei Sun: There is no special ASP decline.
J.J. Park: Yeah. Okay. And my second question, looking at the first half momentum, it seems to be much better than normal seasonality. Are you saying that this trend would continue given less seasonal, the pattern in terms of the demand given increasing proportion from the China and Asian countries where the [representative] kind of space here, we see the better first half compared to the normal seasonality.
Shih-Wei Sun: Yeah. So, this year’s first half is stronger than the past. But last year was not really normal either. Well, you mentioned that China and the emerging markets. Yes, they are strong. It’s quite sustainable. In the meantime, the other regions, U.S., Europe or even Japan, they are picking up the momentum, as the second wave of recovery starts. So, I mentioned also in the afternoon we’d check semiconductor or IC company inventory resource, they are inching up from Q3 last year. However, overall speaking, even to Q1 today, we’ve seen a recent reasonable range. However, in terms of the electronic system companies, channel inventory situation, it’s definitely worth to keep a close eye of them as we move into the third quarter.
J.J. Park: Okay. Related to the inventory issues, how fast can you figure out inventory share? I mean, if there is any other order inventory build up, can you see there is some ability when they kind of reduce or cancel the order?
Shih-Wei Sun: Actually, as I mentioned earlier the top booking order inventory we sell direct customers, it is not that serious, its a very well managed, everybody is aware about the inventory. So, it’s well managed. However, its there semiconductor company with the system company that part of potential over shipping or double ordering that part has to be watched out more carefully.
Operator: Your next question comes from the line of Donald Lu from Goldman Sachs.
Donald Liu - Goldman Sachs: Hi. Good evening. I have a couple of questions. First is, I see your utilization is going to high 90s in second quarter, congratulations on that. I think this is the first time since 3Q ‘07 that utilization goes above 90%. And I think the industry can raise price somewhat, but not happens. I don’t know whether this time will that be the case for UMC.
Shih-Wei Sun: Well, again, pricing is negotiated on long-term basis. We are definitely not trying to be opportunistic at all. As I mentioned even in the first quarter, I mentioned in the beginning, we are even trying to support customers’ in near-term product mix requirements versus our preference of earning more leading edge. So, pricing is really, it’s a long-term partnership kind of a thing. Yes. So, we are improving our ASP, blended ASP mostly by product mix improvement.
Donald Liu - Goldman Sachs: I see. And my second question is on the CapEx spending pattern. Will that be front-end loaded this year or is that going to be spread throughout the year?
Qidong Liu: Well, our budget is still 1.2 billion to 1.5 billion and as you can see from our financial report in Q1, we spent about NT 10 billion or $300 million, so our base going to be quite linear for four quarters.
Donald Liu - Goldman Sachs: Okay. And you mentioned that your 40-nanometer yield is higher than something, can you elaborate on that? And I know one of your competitors had problem at 40-nanometer for several quarters. And can you tell us why that your 40-nanometer yield seems to be ramping up faster?
Qidong Liu: Our 40-nanometer yield has been improving steadily and based on our customers’ feedback we are ramping both the 40-nanometer high performance and the 45-nanometer low power technologies, simultaneously our Fab 12A in Taiwan. Based on customers comment, this noted from R&D to manufacturing including the transfer and everything the ramp has been quite smooth, some even comment even its smoother than 65-nanometer. So, so far so good. So, we’ll continue our efforts to lower the [capacity].
Donald Liu - Goldman Sachs: I see. How about the designing activities for 40-nanometer, relative to 65, is that as strong or it’s not as strong?
Qidong Liu: It’s quite strong. Last earnings release I mentioned that we have over 10 engagements, doing lots of verification on a product level. We are offering shadows and we are also starting to find out to the second wave of customers. So, they are quite exciting.
Donald Liu - Goldman Sachs: Okay, great. Yeah, my last question is on UMC’s effort in LED and Solar, there has been the several reports that UMC’s has been investing in China. Can you give us some color there and also what kind of earnings or outlook we should expect?
Shih-Wei Sun: Yeah, hi, Donald. We actually set up a new business investment company, 100% owned by UMC and we actually report a major investment and we want it to be as transparent as possible. For the time being, there are two major areas. One is, as you mentioned LED the other one is Solar and we are building each key player in every section of the whole supply chain. And we pretty much near completion of both Solar and LED for the two supply chain in Shandong Province in China. And we have strong support from local government and we also have good chance to win a lot of government contracts and in return, we also sometimes putting some small investments. And if this model plays out well, we are likely to replicate this like ambitious development type of project in many other cities in China.
Donald Liu - Goldman Sachs: And what, how much is the…?
Shih-Wei Sun: So the earnings contribution, most of the player, we, just being set out on Greenfield and we don’t really expect to see profit contribution, and is not our largest scale in 2010.
Donald Liu - Goldman Sachs: How much CapEx was spent on this Solar and LED that part of your overall CapEx?
Shih-Wei Sun: No, its not part of our overall CapEx. For the time being, as I mentioned it’s a 100% own investment on called new business investment company. And for the time being, we’ve put in NT$3 billion as paid in capital.
Donald Liu - Goldman Sachs: Got it
Shih-Wei Sun: And this part, however, does not include next power our thin-film solar cell investment, so that’s, so far been separated on the newly investment company for the Solar, LED investment in China right now is kept around NT$3 billion.
Operator: Next question comes from the line of Sarmah Pranab from Daiwa Securities.
Sarmah Pranab - Daiwa Securities: Yeah. Good afternoon. Hi, I have a couple of questions. First, maybe I will start a bit with 40-nanometer. What is the revenue contribution you got in 40-nanometer in Q1?
Qidong Liu: Q1 is over 1%.
Sarmah Pranab - Daiwa Securities: 1%. So, it was down from 3% on the Q4 last year?
Qidong Liu: No. It’s always up. 3% is the next quarter, this Q2.
Sarmah Pranab - Daiwa Securities: Q2, 3%, okay.
Qidong Liu: Yeah, 3%.
Sarmah Pranab - Daiwa Securities: 3% got it. And second one is on the 28-nanometer are you going to provide low power high-performance technology note?
Qidong Liu: Yeah. It’s a same. We have a low power, high-performance, also we have a gate-last high-k/metal-gate version and also there is a new conversion over technology both high-performance low power on the same process. So, we are offering all for them on customer driven basis.
Sarmah Pranab - Daiwa Securities: And are you also doing research on low resistance material?
Qidong Liu: It’s given, actually today, as the language gets shrunk, low resistance barrier metal is being researched extensively throughout the industry. It’s nothing new.
Sarmah Pranab - Daiwa Securities: Could you also comment a bit on the raw material price increase, whether have you seen any increase on the wafer pricing and chemical pricing and how you’re handling that cost now?
Qidong Liu: Yeah, it’s a bit challenging; actually, the wafer price in the industry has been on an upward trend. So, foundry and memory, so it’s a challenge. So, when you do work harder on cost reduction from other areas.
Sarmah Pranab - Daiwa Securities: And is it going to impact on your margins at some point because can you give some number like what type of increase on the wafer pricing you are expecting on second half this year?
Qidong Liu: Yeah, we’ve experienced some wafer price increase that’s definitely below the average increase of the industry. That’s how we are very sure. And secondly, if you look at our inventory numbers, we actually beep up our stocking. There is always some other material just because of the price increase. So, there shouldn’t be any material impact on our profit margin in the near future.
Sarmah Pranab - Daiwa Securities: And then, for a second quarter, how should we look in the OpEx and tax rate?
Qidong Liu: Tax rate, it should be between 5% to 10%, stay close to the minimum tax rate of 10%. And for the OpEx, our CEO mentioned that at least target is to keep the ratio constant. So, the OpEx to revenue ratio should stay static.
Sarmah Pranab - Daiwa Securities: Okay. Got it. Could you also comment a bit on the visibility, what type of visibility you have beyond second quarter, that’s and is there any changes you have seen over the recent days compared to, or three months back on the visibility front?
Shih-Wei Sun: Not really, I think the demand continues to be quite strong. The booking situation is also strong. And also customers are building up some inventory for the second half of the year, the stronger season. So, in the meantime, we need to watch out after Q3 in Q4, Q1, are we going to experience the traditional cycle of the business and how far? Those are the questions everybody watching out carefully now.
Sarmah Pranab - Daiwa Securities: Okay. And my last question is one 28-nanometer, how many customers you have engaged so far?
Qidong Liu: We have a quite few.
Sarmah Pranab - Daiwa Securities: I think six customers.
Qidong Liu: Around half a dozen.
Sarmah Pranab - Daiwa Securities: Half a dozen in the current scenario, so it’s remained unchanged, that number.
Qidong Liu: Yeah.
Operator: The next question comes from the line of Steve Pelayo from HSBC.
Steven Pelayo - HSBC: (Inaudible)
Qidong Liu: We can not hear you very clearly.
Shih-Wei Sun: Hi, Steve, you have to get closer to the microphone or speak up a little bit.
Steven Pelayo - HSBC: (Inaudible)
Shih-Wei Sun: Operator, we have difficulty, so we may have to skip this one and go to the next one first?
Operator: Next question comes from the line of Jagadish Iyer from Arete Research.
Jagadish Iyer - Arete Research: Hi. Thanks for taking my question, two questions, what is your estimate for 65-nanometer contribution to your revenues by the end of ‘010? Please
Qidong Liu: By the end of ‘010 the 65-nanometer and below technology should be above 35% of our revenue and that’s our target.
Jagadish Iyer - Arete Research: And in terms of capacity expansion how should we think about year-over-year change in your 300 millimeter capacity addition and how do you see that proportionately for 200 millimeter for 2010, please?
Qidong Liu: The year end to year end 12-inch capacity increase for UMC is about 25% and overall for UMC year end to year end about 12%.
Jagadish Iyer - Arete Research: And the last question, I wanted to ask you was what is your biggest change in terms of your 40-nanometer, 45-nanometer whether its all the three product portfolios versus 65-nanomenter in terms of material changes that you see related to deployments of the margin, can you just elaborate on that please thanks you.
Qidong Liu:
Operator: Your next question comes from the line of Mehdi Hosseini from FBR.
Mehdi Hosseini - FBR: Yes. Thanks for taking my question. As a follow-up to one of the earlier questions, I want to find out what are your thoughts, what’s your opinion about your customers’ inventories and does that make a concern, especially as you are building up inventory for the second half? And then, as a follow-up, have you planned for next year CapEx. Is that the inventory in the second half is it going to be a key decision. Is a key factor in your decision, what will be the CapEx next year or is that more of a macro or maybe you can share with us the key factors that are going to influence your CapEx plans for next year? Especially, your utilization rate goes into the high 90s. Thank you.
Qidong Liu: Well, your first question was inventory situation of our customers. We are watching it out very carefully. So, we are working with the customers understanding their situation. Also with all of our customers as of today many of their products are (inaudible) or with other foundries. So, they are watching it out very carefully. So there the IC or semiconductor companies inventory level is still where we have seen the historical level, although, they are higher than Q4 and higher than Q3 where we have seen the reasonable range. Again, in the system level whether there will be channel clash later in the channel, we need to be very careful for the second half, especially towards Q4. Thus far as our long-term CapEx, we mentioned, in the long range multi year average, we try to bring it down to 25% of our revenue. So, it’s a kind of loading kind of say harbor, we are opening up a new big factory in Thailand Fab 12A in phase III and Phase IV. So the timing is excellent actually so if we can grab this upward set cycle and quickly ramp the Fab, new Fab into some economy of the scale, that’s a very reasonable plan. However, it’s still early to share with you all CapEx by next year.
Mehdi Hosseini - FBR: Just two quick follow-up, on the CapEx or new Fab, is that going to be like your previous Fab where the initial capacities like 40, 50 K per month. And as a follow-up to the inventory, I am looking at your capacity and Taiwan SME capacity, then in the capacity or incremental capacity increased from Q2 to Q3 some what limits the excess inventory build out because on aggregate the foundry capacity is only going to increase in single-digit from again from Q2 to Q3. Why wouldn’t that be a limited factor to help avoid excess inventory?
Qidong Liu: So the first question was Fab size?
Mehdi Hosseini - FBR: Yes.
Qidong Liu: That is correct, I have seen, we are out using mega or giga fabs to reach battery common main scale. So, those are huge fabs, there is no difference there. As far as with the incremental capacity increase, I mean, so this 40-nanometer or new technology is quite challenging, buying equipment is just a starting point we need to get everything without. So, maybe some lead time. Overall, speaking we are pretty much on track in terms of our capacity release.
Mehdi Hosseini - FBR: Sure. So, within that limit any excess inventory build out on your customer side just the fact that the transition to advance nodes or challenging and up to limit their incremental capacity increase to only single-digit in terms of growth Q3 or Q2?
Qidong Liu: I will direct, I see customer, I don’t think they are really intentionally building any excess inventory, they are aware and careful. Overall aggregate of the industry there maybe some pockets of channel inventory but we need to watch it out carefully.
Operator: (Operator Instructions) You do have a question from the line of Emily Liu from Arete Research.
Emily Liu - Arete Research: Hi, this is Emily. Thank you for taking my question. I have a very quick house keeping question. I think at the guidance you mentioned wafer price ASP appreciation will be offset by currency change. Can you give me more color on what is, high single-digit or double, low double digit change on both factor?
Qidong Liu: Our assumption for NT dollar exchange rate in quarter two is 31.3.
Emily Liu - Arete Research: Right. Okay.
Qidong Liu: And there it’s about 2% appreciation of NT dollars against U.S dollars. So that’s also the ball park figures for the blended ASP increasing our second quarter ball pass.
Operator: And there are no further questions, Mr. Liu. Back to you.
Qidong Liu: Okay. And thank you everybody for joining UMC’s call today. And that concludes our conference call and we are looking forward to our core earnings release next quarter. See you. Bye, bye.
Operator: Thank you for participation in UMC’s conference. There will be a webcast replay within an hour. Please visit www.umc.com under the investor relations/investor event section. You may now disconnect. Goodbye.